Operator: Greetings and welcome to the CVR Partners’ Second Quarter 2015 Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions]. As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Wes Harris, Vice President of Business Analysis for CVR Partners. Please go ahead.
Wes Harris: Well thanks, Kevin and good morning everyone. We appreciate you participation on today's call. With me as usual are Chief Executive Officer, Mark Pytosh; and Chief Financial Officer, Susan Ball. Before Mark and Susan discuss our recent results, I will provide the following Safe Harbor statements. In accordance with Federal Securities Laws, statements in this earnings call relating to matters that are not historical facts are considered forward-looking statements. These forward-looking statements are based on management’s beliefs and assumptions using currently available information and expectations as of today. These forward-looking statements are not guarantees of future performance and involve certain risks and uncertainties, including those noted in our filings with the SEC. In addition, today’s presentation includes various non-GAAP financial measures. The disclosures related to such non-GAAP measures including reconciliations to the most directly comparable GAAP financial measures are included in our 2015 second quarter results press release that was issued earlier this morning. Adjusted EBITDA is an example of such non-GAAP measures. Adjusted EBITDA represents net income, adjusted for depreciation, amortization, net interest expense, income tax expense, turnaround expenses, and non-cash share-based compensation. So with that, I will turn the call over to Mark.
Mark Pytosh: Thank you Wes and good morning everyone and thanks for joining us for today's 2015 second quarter earnings call. Supported by on-stream rates at the plant we are pleased to report another solid quarter for CVR Partners. Financial highlights for the period included revenue of 80.8 million, adjusted EBITDA of 36.1 million and net income of 27 million. In today's press release we also announced that 2015 second quarter distribution of $0.39 per common unit. The distribution we will be paid on August 17th to unitholders of record on August 10th. We discussed on previous calls that our major plant turnaround was scheduled for the 2015 third quarter for approximately three weeks. The turnaround is nearly complete and we anticipate expenses will be approximately $7 million. Included in our 2015 first quarter distribution was a reserve of 3 million. For the second quarter of 2015 our distribution includes a net reserve of 3.6 million which takes into account $400,000 of turnaround expense incurred in the quarter. During the third quarter we will release the remaining net $6.6 million reserve. This will help partially offset the full impact of the turnaround during the quarter which is a combination of a 6.6 million of expense and three weeks of formal on-production. I would note that our next major turnaround is targeted for the second half of 2017. Looking into more detail on this year's second quarter, supporting our results was continued solid operating performance of plants. During the quarter the gasifier ran at a 100%, the ammonia unit operated at 99% and the UAN plant ran at almost 97%. These are especially impressive on-stream rates given we were in the final few months headed into the turnaround. The product tons during the period we produced a 107,100 tons of ammonia. We purchased 600 tons of ammonia's feedstock and we converted the substantial majority of our ammonia into 253,500 tons of UAN. For the same quarter of 2015 we received an average realized gain price for UAN of $269 per ton. This is compared to the $263 per ton we reported in the 2015 first quarter and $283 per ton we reported for the second quarter of 2014. For ammonia we received an average realized gain price of $546 per ton in the second quarter of 2015 versus $553 per ton in the 2015 first quarter and $521 per ton in the second quarter of 2014. I will now turn it over to Susan to discuss our detailed financial results. Following that I will provide some concluding remarks and then open it up for Q&A.
Susan Ball: Thank you Mark and good morning everyone. As Mark mentioned net sales for the 2015 second quarter were $80.8 million, this compare to $77.2 million in 2014. The key factors contributing to the increase were higher sales volumes for both UAN and ammonia as well as increased hydrogen sales to CVR refining to adjacent refineries. Partially offsetting the overall increase was a lower UAN pricing for this year's second quarter. Cost of products sold for the 2015 second quarter was $15.4 million as compared to $19.4 million in 2014. The decrease was primarily associated with the reduction in cost per regulatory required railcar inspections and repair as well as lower third party ammonia purchases. Direct operating expenses for the 2015 second quarter decreased to $25.1 million from $26.9 million in the prior year period. Contributing to the decrease [discernible] amortization, net utilities and repairs and maintenance expenses. Partially offsetting the overall decrease was turnaround expenses incurred in this year's second quarter and higher spending for chemicals. Selling, general and administrative expenses for the 2015 second quarter were $4.6 million as compared to $5.3 million for the second quarter of 2014. Driving the decrease was our share based compensation and services agreement expenses. Depreciation and amortization expenses increased slightly to $7 million in the second quarter of 2015 from $6.8 million in the same period for 2014. The increase was substantially associated with assets placed into service since the end of last year's second quarter. Finally, net income for the 2015 second quarter was 58% higher year-over-year at $27 million or $0.37 per common unit. This is compared to net income of $17.1 million or $0.23 per common unit for the second quarter of 2014. During the 2015 second quarter we spend $3.4 million on capital projects including $2.2 million for maintenance CapEx spend. For the 2015 full year we continue to expect maintenance CapEx spending to be approximately $10 million to $12 million. Finally, we continue to have strong liquidity with $67 million in cash and cash equivalents, $25 million available under our revolving credit facilities at June 30. In addition our total term debt remains low at a $125 million. We are currently considering capital structure and refinancing options associated with our credit facility which will mature in April of next year. With that I will turn call back to Mark for his closing remarks.
Mark Pytosh: Thanks Susan. In its most recent WASDE report the USDA included a planting estimate of 88.9 million corn acres for this year. Similar to last year farmers apply significant amount of nitrogen fertilizer during this year's planting season. With the conclusion of planting we entered the fill season. Late last month we took orders for significant majority of our second half production at UAN price levels that were in line with our expectations from earlier this year. Given that most of these tons will go into storage for used mixed spring we will have a lower average sales price per ton for the second half of 2015 that's compared to the first six months of the year. This is similar trend to past years. For competitive reasons we typically only publicly disclose sales prices on a retroactive basis. However I can say that published industry sources and larger investment research quoted fill season NOLA UAN pricing at $210 to $215 per ton. As a reminder given our planned strategic location we typically see an approximate $10 to $15 per ton price premium over NOLA. With an expense structure that's substantially fixed and a solid outlook on pricing we now have significant visibility for the second half of 2015. In addition assuming similar trends as past years when we had completed a turnaround we did see modestly higher production rates for a number of months as compared to the levels we saw heading into the turnaround. Looking beyond this year we believe the U.S. will remain a net importer of nitrogen even after taking into consideration the additional product supply schedule to come online over the next 12 to 18 months. We also see an opportunity for consolidation among the nitrogen fertilizer producers in their respective efforts to optimize marketing and logistics activities resulting from the incremental product supply. Given our planned strategic location near the Cornbelt our strong balance sheet and ready access to funding from a parent we expect to have opportunities to evaluate potentially pursuing mergers and acquisitions in the future. We will focus on strategic fit and transactions that are accretive to distributions for our unitholders. With that we are ready to open the call for question Kevin.
Operator: Thank you. At this time we will be conducting a question-and-answer session [Operator Instructions]. Our first question today is coming from Adam Samuelson from Goldman Sachs. Please proceed with your question.
Adam Samuelson: Mark, I appreciate the color both just in the prepared remarks and the release on summer fill. And would just like to get your thoughts on the carryover inventory levels post the spring. You had some very wet weather in parts of the eastern corn-belt, in parts of Texas, Oklahoma that touch on your marketing areas. Do you think all the UAN that people thought they were going to get done got down or did they have to switch over to, say urea? Or how does the inventory's choice look across the markets as you see them?
Mark Pytosh: What I would say here Adam is that if you measured it on June 30th we were probably -- and the UAN inventory was higher than we would liked but by the month of -- end of the month of July we’re kind of getting back to normal. There was a lot application after June 30th we are picking up on that wet weather. So I think we actually ended up in a pretty good inventory position. But last year we were empty in June 30th this year it took a little longer to get there. So I think the conditions have ended up okay. And my sense is that the overall inventory for the industry is in pretty good shape going into -- difficult sort of hard to say all that far away but that looks pretty good going into the fall.
Adam Samuelson: That's very helpful. And as you look at the competitive set domestically, I mean, you do have some meaningful UAN capacity at CF and Weaver coming on late this year or early next year. Have you seen any of those tons actually be marketed at this point or is that having any influence on the market or impacting buyer behavior at all?
Mark Pytosh: We didn’t really see any impact really from Weaver. I think that we did see CF beginning the market the d-bill tons dollar to bill, Louisiana tons because that UAN capacity, they expect to be able to deliver some bill tons. So, we did see CF but we didn’t see that impact on Weaver. But the full season turned out to be pretty less right down the middle of fairway in terms of the volumes that we sold. It’s a little strict here in the turnaround here because we don’t have as many tons to sell in the second half because of the three weeks of downtime. But we ended up with a pretty solid bill season from a volume perspective.
Adam Samuelson: And then on imports, anything changing on the import side, I mean, I think you have seen some Chinese UANs emerge. I guess that may be balanced by some lower gas availability at Trinidad. But any change in the import landscape as you see it today?
Mark Pytosh: No, we haven’t really seen. There has been more UAN, I like to call it marginal UAN tons coming in but it hasn’t had -- I wouldn’t call it an overall real impact on the marketplace. It’s just going to take another season or two just to get this new production into the market and the imports that are going to drop away, it will take a little time to get that shift done. So, we take the first step. I would call this year the first step because CF I think was already there with our new capacity and the next sell season we’ll see the Weaver tons coming into the marketplace. But it will just be a process of pushing those imports out. And so it’ll us a season or two for the customers to get used to taking that product domestically.
Adam Samuelson: And then one more for me, you alluded in the prepared remarks on M&A and consolidation opportunities in nitrogen. Obviously, there is a CFO/CI rumors that are out there. But something you've been talking about on last couple conference calls, frankly. Any timing change or how do you think about the immediacy or likelihood of something actually shaking loose in the second half of the year?
Mark Pytosh: I mean it’s always hard to predict timing on stuff like that. I think that again with the new capacity that Donaldsonville's bringing in and Weaver on horizon, it’s just getting people thinking about where the markets going to be the next three to five years and that sort of hiked everyone’s reexamination of where you stand where do you want to be. And so I think everyone in this sector is examining their footprint and where they think the markets going to go. So there are going to be opportunities. It’s going to be difficult to predict exact timing. But things are changing because the markets changing, the markets taken us in that direction.
Operator: Thank you. And next question today is coming from Doug Christopher from Crowell, Weedon. Please proceed with your question.
Doug Christopher: I have just two questions. First is on the turnaround. I did get on the call a bit late. Could you just talk about some details on the turnaround? Is it going as expected? Are you adding anything or upgrading anything or is it going as expected? And then second is, in terms of alternate product that you have mentioned in the past.
Mark Pytosh: The turnaround has gone very well. This is our first turnaround since we did the UAN expansion and so we have a pretty fulsome turnaround in new units that we were going through. And so we’ve said we’re on track from a timing perspective. It was a more expanded turnaround than we did three years ago. But we’ve been focused on improving our reliability. And I would say that we feel coming out of this turnaround and we’ve addressed some issues that we take -- create downtime for us, so feel good about that. And so we should be up and running here shortly next few days by early next week, so happy with that. On the alternative product, I guess if we’re talking about DEF per se, that’s really the big one for us. And that market remain relatively robust, pricing has been good there. So we’ve had a pretty good summer in that product line. It’s not material to the overall. It’s a nice additive piece of it. But as I mentioned on past calls, our sister company is building a hydrogen plant next door and we’ll going to be taking hydrogen from them probably second half of next year. And so we will be back in time some ammonia in the commercial market, in the ag market, second half next year. So the ammonia market’s been pretty tight this year. And we will look forward to having the opportunity to sell some of that product into the marketplace again.
Operator: Thank you. Our next question today is coming from Charles Neivert from Cowen & Company. Please proceed with your question.
Charles Neivert: Is it typical, given the markets that you guys would be basically -- largely sold out for the remainder of the year this early or do you usually keep some in reserve to sort of sell through the fall application season?
Mark Pytosh: What we’ve typically been able to do is we’re pretty sold out, but sometimes we’ve been able to work with the customers to push some of those tons into the first quarter. And so, we can create some sort of the need. Typically, for prompt shift from the plant, the month of July is an active market then we don’t really see a lot of activity, just refilling the tanks after July. But we usually can create some balance in the system if we needed to sell some product on a prompt basis. But a lot of it is effectively replenishing the storage tanks that are empty from the spring application.
Charles Neivert: And then given the market, the fact you've got new players or new capacity coming into it. Are you guys looking even beyond the end of this year to start selling into next year to make sure you basically have all your products sort of sold out? Again, given the MLP set, if you obviously want a solid look at what your earnings are looking like. But are you looking at going further out even than the end of the half, the end of the year?
Mark Pytosh: We’ve been -- the last couple of sell seasons, we’ve been selling tons in the first quarter. There is -- so it’s priced a little bit differently than the second half. But we already -- we'll sell some tons in the first, call the first quarter next year as part of bill season which we did this year. So we’ll have tons already allocated from the first quarter, not the whole production. But we already have sort of a base line established. And the customers have been buying into the first quarter of the last, at least the last two or three sell seasons. So, yes we’ve already sold some tons for the first quarter.
Charles Neivert: And last question. I mean, today, I mean, again you gave sort of an indication of where pricing is in New Orleans. Versus the end of 2Q and the early parts of July versus where we are today, I mean, where is pricing now? I mean, you're all sold out for the half, so it really doesn't make much of a difference. But I'm just sort of curious as to what kind of trend you're seeing over the last let's say two, three, four weeks since you've basically relatively sold out.
Mark Pytosh: Typically what happens is the prompt shifts that go from the plant are at a higher price than the sell, so we’re seeing higher pricing than sell pricing in July. And then the field is already a price established. So that both typically will get a bit of a premium and that’s we’ve seen it. So, the historical pattern has helped the same this year, so it’s a little bit higher price for the prompt shift and then the premium to the field price.
Operator: Thank you. And next question today is coming from Matt Niblack from HITE. Please proceed with your question.
Matt Niblack: Congratulations on the continued strong execution here. Little bit of a different question. You've in the past expressed an interest in the East Dubuque asset that Rentech Nitrogen has. Do you remain interested in that asset? Or given changes that might have occurred in the market or your disposition, has that interest waned?
Mark Pytosh: The policy we don’t really talk about any specific assets or transactions. But I think we said on the last call, we look at all the assets that are out there to see what’s available. And that’s really all I can say is that we look at -- we try to look at everything. And we’ll see what happens. But we think there’s going to be some opportunities generally in the sector in the next -- over the next year or two.
Matt Niblack: What makes you think that there will be opportunities in the sector over the next year or two? Is it just sort of industry chatter or there's some secular industry dynamics you think are creating sellers?
Mark Pytosh: I think that people are deciding whether they want to be a buyer or a seller here, because the shift in the marketplace is shifting people’s positions. And I think what you’re going to see is traditionally the sectors have one large player and a group of smaller ones. And I think that the new capacity is forcing people to decide whether they want to be bigger or they want to be smaller, or not in it. So, I don’t think there is anything unique about our sector, it’s just -- the dynamics are favoring the change in the structure of the marketplace. And those conversations are happening. So I think it will change and I think it’s really five years albeit a fewer bigger players in our sector because the economics of the scale for marketing and logistics and delivery to customers is -- it's going to drive people who want to be bigger.
Matt Niblack: So it sounds like you're certainly a potential buyer. Are you also a potential seller?
Mark Pytosh: What we always say is that we’re value driven and so we can’t think of it either way, we’re a buyer or a seller. And I think everybody knows who ultimately is controlled the company and so we’re going to make an economic decision. We’d like to be a buyer. We think we can run these assets well. But if somebody thinks our business is worth more than we think, then we’ll talk to them as well.
Operator: Thank you. We’ve reached the end of our question-and-answer session. I’d like to turn the floor back over to management for any further or closing comments.
Mark Pytosh: Again, I want to thank everybody for being on today and we look forward to speaking to you next quarter. Thank you.
Operator: Thank you. That does conclude today’s teleconference. You may disconnect your lines at this time and have a wonderful day. We thank you for your participation today.